Operator: Good afternoon, ladies and gentlemen. And welcome to the Conference Call of Intesa Sanpaolo for the Presentation of First Quarter 2024 Results hosted today by Mister Carlo Messina, Chief Executive Officer. My name is Razia, and I will be your coordinator for today’s conference. At the end of the presentation, there will be a question-and-answer session. [Operator Instructions] I’ll remind you all that this conference is being recorded. At this time, I would like to turn the conference over to Mr. Carlo Messina, CEO. Sir, you may begin.
Carlo Messina: Welcome to our first quarter results conference call. This is Carlo Messina, Chief Executive Officer; and I’m here with Luca Bocca, our new CFO; Marco Delfrate and Andrea Tamagnini, Investor Relations Officers. We delivered the best ever start to the year with high quality results. Also, thanks to a strong acceleration in commissions and insurance, income. Costs are firmly under control, while we are even investing in technology and asset quality remains excellent. €2.3 billion net income was the best quarterly net income since 2007. Earnings per share grew 21% on a yearly basis and in 2024 we will reward shareholders with a total distribution of at least €7.3 billion, including the €1.7 billion buyback in June. In the quarter we increased the common equity ratio and we strengthened our zero NPL status. We clearly an additional distribution for this year and next will be evaluated year by year. Customer financial assets increased €120 billion on a yearly basis and almost €30 billion in Q1to more than €1.3trillion. We are perfectly on track to deliver above €8 billion this year and next easily achieve net leave income above €8 billion this year and next. We have a well diversified business model that delivers in any interest rate environment, allowing us to take advantage of a rebound in wealth management when rates decline. Our tech transformation is moving quickly with €3 billion already invested. Later in the presentation we will provide the usual update on our strong ESG commitment. This is all about building a sustainable and profitable bank that can continue to be a leader in the future while delivering strong results in the short term. I'm proud of our results and thank our people for their hard work. Now let's turn to slide one for the highlights of our first quarter slide number one. In a nutshell, we had the best ever start to the year. We delivered €2.5 billion net income when excluding the final contribution to the deposit guarantee scheme, Q1was the best quarter ever for revenues, operating margin and gross income. The cost income ratio was the lowest ever. NPL inflows in stock remained at historical lows and common equity ratio increased to more than 13.3%. Slide number two, in this slide you can see the impressive and continuous growth of net income, up 18% on a yearly basis. Slide number three, we are delivering a significant increase in value creation and distribution with strong growth in dividend per share, earnings share and tangible book value per share. Slide number four, we are a wealth management protection and advisory leader and we are ready to leverage on our fully owned product factories now under the responsibility of a single oversight unit, enabling quick time to market synergies and product customization. Our top notch 360 degree advisory services supported by state of the art digital tools. These services, provided by banker territory and private banking are already delivered, bringing related commissions up over 40% year on year. Slide number five, our delivery machine is based on close to 17,000 private bankers, financial advisors and relationship managers for private, affluent and exclusive clients. We have strong internal potential with over €870 billion in direct deposits and assets under administration and we have identified €100 billion that can be converted into assets under management. Also, thanks to declining rates, in April, we created an oversized unit consolidating the group's activities aimed at accelerating growth and increasing the integration of product factories. Furthermore, we created a fees and commissions steering committee that I chair myself, focused on increasing commissions across all the group divisions. And let me add that we are already at work. When we see an opportunity or a problem emerging, we take action and we deliver. We have done it multiple times and we will do again with this wealth management growth. Slide number six, this record start to the year means that we are well on track to easily deliver net income above €8 billion this year and next year. Slide number seven, I'm very proud that our excellent and sustainable performance allows us to reward all our stakeholders. As you can see in the slide, our people, households, businesses and the public sector benefit from our increasing profitability. An increase in net income and so in cash distribution is also favoring an increase in tax revenues for the state and 40% of cash dividends go directly to households and to the foundation to support their charitable programs for local communities. Now let's move to slide nine and take a closer look at our results. Slide number nine net interest income was up over 20%, basically stable quarterly when adjusting for the different number of days, commissions accelerated and insurance income showed double digit growth both yearly and quarterly revenues increased double digit and operating margin 18%. On a yearly basis, net income reached €2.6 billion when excluding leaves and other charges concerning the banking industry this year, we booked the final contribution to the deposit guarantee scheme in Q1and since the final contribution to the European Resolution Fund was booked last year, we do not foresee any significant additional contribution going forward. Slide number ten in this slide you can see the strong yearly increase of net interest income, putting us well on track to deliver growth in 2024 versus 2023. Also thanks to higher contribution from core deposit hedging. Slide number eleven net interest income growth on a yearly basis was driven by the spread component on a quarterly basis. The decline is due to the different number of days in the two quarters and to a lower contribution from the financial component. Deposit beta continues to remain very low. Slide number twelve customer financial assets exceeded €1.3 trillion, up almost €120 billion yearly and €30 billion in Q1with significant growth in assets under management and assets under administration. Let's move to slide 13. The wealth management and protection businesses are a strong contributor to the group's profitability and in Q1interest rates. The contribution was 45% of gross income. Commissions are up 8% on a quarterly basis and the commissions related to management, dealing and consultancy activities are up double digits with no significant performance fees. Slide number 14 property and casualty contribution is increasing, driven by the non motor business, To our best ever Q1for insurance income. Let me add that we have significant upside potential due to the still low client base penetration of property casualties when compared to other products. 100% fully owned product factories is a clear competitive advantage. Slide number 15 the contribution of commissions and insurance income to revenues is over 40%, the highest in Europe after UBS. This thanks to our well diversified business model. Please turn to slide 16 for a focus on costs. In Q1, the cost income ratio was 38%, the lowest ever thanks to effective cost management. Operating costs were down 3% when excluding depreciation for tech investments and the impact of national that renewal in this slide 17 in this slide you have more detail on our costs. Administrative costs decreased by over 3% on a yearly basis. Slide number 18 in this slide you can see that Inter Sao Paulo has the best cost income ratio in Europe, well below the peer average. Let's move to slide 19 for a focus on asset quality. NPL inflows and stock remain at historical lows. Also, stage two loans decreased 16% year on year down. More in Q1, Thanks to the high quality of our loan portfolio and our strong capabilities in prevention activities, we are a bank with just €5 billion net NPL and a 1% NPL ratio. Slide number 20 NPL stock and ratios are among the best in Europe after impressive de risking. Slide number 21 we are also very well positioned in Europe in terms of stage two that represents only 8% of loans. Line number 22 our analyzed cost of risk was 22 basis points. With no overlays released, NPL coverage increased further even if we see no signs of asset quality deterioration. Let's move to slide 23 for the usual update on Russia. Quarter after quarter we keep reducing our Russia exposure both cross border and locally, so let's move to slide 24 for an update on capital. Slide 24 the common equity ratio increased by almost 20 basis points to over 13.3% 14.7% considering DTA's thanks to organic capital generation and after deducting the €1.7 billion buyback and the 1.6 accrued dividends. Now please turn to Slide 25. Capital ratio will increase this year and next and we clearly have significant excess capital allowing flexibility for additional distribution. Please turn to slide 26 to see our sound liquidity position. Slide 26 we have best in class MREL ratios well above requirements. The 2024 funding plan is very manageable and DALF has already been executed. Slide 27 the liquidity cover ratio and net stable funding ratio are well above our business plan targets and we have a very diversified and sticky deposit base. The liquidity coverage ratio at the end of March was over 140% above the business plan target, even when considering the full reimbursement of the remaining TLTRO. Let's move to Slide 820 for more details on the liquidity position. Liquidity reserves remain very high despite TLTRO repayment, and cash with the ECB is much higher than the remaining TLTRO. Let's now move to slide 29 for the usual update on our ESG actions. In this slide you can see our strong progress toward the business plan ESG targets and also here we are ahead of schedule across nearly all of the projects. In April, we appointed the chief Sustainability Officer consolidating ESG activities. We have a massive program to address social needs and promote inclusion, with a contribution of €1.5 billion. Of these, we have already deployed €400 million. We remain committed to being the world's number one impact bank. Let's move to slide 30. In this slide you can see other important ESG initiatives with impressive results achieved, such as €47 billion in new lending to support the circular economy and green transition and the further reduction in finance emissions. At the end of this presentation you can find additional slides on our social and climate initiatives and our leading ESG position in the main sustainability indexes and rankings. Please move to slide 32 for the macro scenario. Slide 32 the Italian economy is strong and I want to highlight that Italian Corporates have significantly improved their deposit to loans position over the past years and that Italian GDP will continue to grow this year and next. For this year I personally expect a growth between 0.7 and 1%. Slide number 33 as you can see in this slide, Inter Sao Paulo is far better equipped than its European peers thanks to our rock solid capital base and well diversified business model supported by significant tech investments. Slide 34 very important in my opinion. In this slide you can appreciate the unique positioning of Inter Sao Paulo thanks to our commission driven and efficient business model supported by strong tech investments. I think this slide tells a really important story that deserves more attention. Slide number 35 this slide recaps how ISP is equipped to further succeed in the future. In fact, we are ready to succeed in any interest rate environment as shown by this set of all time high results. Slide number 36 so to finish, let me turn to the outlook. In the second part of this year, our leadership in wealth management, protection and advisory will start to kick in. After delivering our best ever start to the year, we are well on track to deliver easily a net income above €8 billion this year and next year. Our strong and sustainable performance allow us to strongly reward our shareholders, always a priority for ISP and me personally, while maintaining a rock solid capital position. This year we will return at least €7.3 billion, taking into account the early June buyback and the interim dividend in November, the proposition will be evaluated at the end of the year. I want to highlight that all our stakeholders will benefit from our performance, so thank you for your attention and now we are happy to answer to your questions.
Operator: Thank you. [Operator instructions]. Thank you. We are now going to proceed with our first question and the questions come from the line of Azzurra Guelfi from Citi. Please ask a question.
Azzurra Guelfi: Hi, good afternoon. Two questions for me. One is on your revenue, in particular on fees and NII. The fee trend has been particularly strong and I was a bit curious if you can tell us a little bit more about this fee and commission steering committee that you have put in place and what are the main actions that you are thinking about and what has already been implemented that we have seen as results in Q1and on NII, margin are still expanding despite volume contraction. So if you can comment a little bit about margin and deposit beta this quarter, and how do you see it over the next couple of quarters? The second question is on capital. I'm not going to ask you how much do you expect to return in terms of excess capital, but if you can give us a little bit of color on the development of the risk weighted asset, because the risk weighted asset went up marginally on lending contraction and if there is any additional regulatory headwinds that we have to consider between now and here? And thank you.
Luca Bocca: So thank you. So, looking at revenues, it is clear that we are starting to demonstrate that inter Sao Paulo is a completely different bank in comparison with all the other European peers apart UBS. So we are starting to get momentum on fee and commissions coming from wealth management protection and advisory. And the main driver has been the growth in terms of gross inflows. So my people started to move the total amount of inflows and gross inflows. So as soon as our client has a capital gain position in mutual funds or insurance product or asset under administration, they are contacted by my people in order to understand if they are available to make a disposal of this kind of product, to enter into another product. This has proven to be very success because we increased in comparison to last year by 20%, 30%, the total amount of these info flows. And this as a consequence, you had an increase in terms of commissions. This is a trend that is continuing also in April. And it is one of the main action that we started with this strong focus that I'm now dedicated on organization in terms of fee and commissions. The other portion will be the area of transaction payment. This will be another area in which we want to accelerate. So my expectation is to be in a condition to have a double digit growth in terms of wealth management, protection, advisory and transaction banking commissions, and especially on commission coming from insurance and protection business, also well above double digit growth. So we are really concentrated on this point. All the organization is working on this target. We have already demonstrated in the last years to be able to deliver significant performance in terms of wealth management and protection and advisory. So the kind of results, in my view, are easily achievable. Obviously, if conditions will remain of a trend of reduction in terms of net interest rate, because this is created condition of capital gain in the portfolio of our clients. We have client by client, the name of clients that can be contacted by our relationship managers. So this machine, in my view, is already working and really pretty, pretty positive on this point. We have meeting on a monthly basis with the most important managers of the group that are in charge of increasing commissions. But I think that also with this new reorganization, with the appointment of an ed of all the wealth management activities, that in combination with the head of banker territory and the head of corporate investment banking, and also the head of international banking subsidiary, because also in this environment, we are accelerating the growth of commissions. We can deliver very good results for our shareholders. And believe me, I think that this can be really the most important driver that will differentiate inter Paulo from all the other peers. At the same time, on net interest income, we are defending our leadership position in terms of net interest income. So it is very limited, the beta or the pass through that we had in this quarter. At the same time, we increased the total amount of bonds in order to create also room to have contribution to net interest income from financial activities we made in the last part of March. So having another sources of net interest income on markdown, my expectation is more or less in this condition. So our cost of funding on the short term can increase of ten basis points. In the worst case scenario, 20 basis points, but no more than this. And this will allow us to maintain a significant growth in 2024. In comparison with 2023. My expectation is to remain also for this year, a strong contributor in terms of net interest income, but it is more deriving from market conditions. So what really I'm concentrating is on fee and commission, because starting from 2025, we will be the unique bank that can really make a clear diversification. And so, through the hedging facilities, compensate reduction in net, but maintaining a strong acceleration in terms of fee and commission, so on revenues. I think that we are in a very good condition also. The property and casualty business is giving us very positive results. Penetration is still very low, and so we can also sell in terms of penetration. So I'm fully committed to guaranteed that our organization will move towards a clear, significant growth in terms of fee and commissions. To be in a condition to have 100% owned product factories is a unique condition in Europe. And so we will leverage on to accelerate in these. In this area, on capital. I think that our capital position will increase because this quarter we had this increase in market risk. And as I told you, the number of our bonds increased in order to create room to have farther net interest income or in case of need to make trading income, but trading strategic for us for the time being due to the fact that we have significant core revenues coming from fee and commissions, insurance and net interest income. But the same time, the increase in volume has determined an increase in terms of risk weighted assets, but in terms of trend, our capital will increase and so we will remain with a room to evaluate further. Share buyback. You know that I'm not a, a super fan of the share buyback. So I think that now in the market, too much short term attention and share buyback is something that you have to balance with the cash dividend that you are providing. So our cash dividend, machine dividend remain there because our profitability is absolutely there. And also, if I can add, preventing other questions that I will have during this conversation with the analyst also on outlook, I'm still conservative on outlook, but because we do not need to make the race of outlook with all the other banks, we are the incumbent in terms of value creation. We are probably the most sustainable bank in Europe. We are here to remain forever and not only for two years time. So I want to drive this organization in terms of quarter by quarter, delivering and then giving to the investors the clear opportunity. We do not need to increase the share price because we want to make some m ad lens or to use the share just to make a transaction. So we are a unique in terms of, in the European landscape, we have already made our acquisitions with the best in class. And so in this sense, I think that Paulo is a clear, sustainable bank with sustainable results. And I can tell you that our outlook is really conservative for the reason related to fee and commissions mainly. But that's our opinion.
Operator: We are now going to proceed with our next question. And the questions come from the line of Delphine from JPMorgan. Please ask a question.
Delphine Lee: Yes. Good afternoon. Thank you so much for your questions. For your presentation, I've got two questions. So my first one is going back on net interest income, if you don't mind, compared to the comments that you had provided with Q4 results, we're still seeing deposit beta being relatively low. Isn't your assumption of an increase in deposit costs of up to 20 basis points a bit conservative? I mean, what are you seeing in terms of the trends and when do you think?
Luca Bocca: We also see a bit, you know, over stabilization of the deposit base and on seasons. So the performance has been very strong indeed. Was just wondering if you think that the competition coming from BTP placements are going to be less pronounced in the future, or do you see an acceleration, or do you think the retail ownership is already there? Or how should we think about basically that headwind for your asset management business? Thank you.
Luca Bocca: So thank you for your questions on that. Interesting. I can tell you that my expectation is not to have an increase of 20 basis points. So I think that within the network, my expectation is that we can remain in the range of ten basis points. So, in a sense, I don't think that we can have, in a scenario of reduction of interest rate, any kind of significant increase in terms of cost of deposits. So this means that also in terms of net interest income, we can have very positive performance. It is clear that if interest rate will go down, we will have a reduction in terms of markdown, but we will have an acceleration in terms of aging facilities revenues coming from core edging. So our expectation is that interest rate, if interest rate, on average, we go in the range of 3.6, we can have on a yearly basis only from core hedging, an increase of €900 million. And in 2025 is interest rate, we go on average on 2.62.7, we can have €1.6 billion in terms of increase. So also in terms of net interest income, both looking at cost of deposits, both looking at the contribution from core hedging. We are, in my view, in a unique situation in the European landscape. But in any case, did the hour figures of 20 basis points conservative? I consider very likely there could be ten basis points. The increase in terms of cost of deposits, in terms of fee and commissions. We had a movement from deposits into asset under management due to BTP Valori for an amount of €15 billion in this three tranche of BTP valore. But for us, this is, in my view, a unique opportunity, because we are obviously monitoring client by clients, the may substitution of BTP valor, and as soon as this BTP can become capital gain positive with the reduction of the interest rate, we will contact the client in order to work with them for a better composition in terms of asset under management products. So I'm not worried of the competition of BDP. Also, we demonstrated this quarter that also in a condition of interest rate not in significant, that we can generate significant fee and commission, and especially in terms of BTP. In my view, b two can be the main source for acceleration at the end of the year. So as soon as we have a reduction in terms of Uribo of 50-75 basis points, 100 basis points, we will see what can happen. But this will accelerate the work of my people in terms of contact with the clients for a potential conversion of these instruments.
Operator: Thank you. We are now going to proceed with our next question, and the questions come from the line of Andrea Filthy from Media Banker. Please ask your question.
Unidentified Analyst: Hi, one question on NII and one on fees as well. Could you tell us what the NII of the quarter has been from the tax credits related to the several ecological programs of the government? And how many billions is the exposure in total at the end of March? And what is your view on loan growth for 2024 year on year which has been lingering in the past quarters? Second, on fees, really good 6% year on year growth. I didn't understand from your previous commentary if you think we could extrapolate it for 2024 in terms of year growth. Thank you.
Luca Bocca: I will start from fees and commissions. I gave indication on a portion of fee and commission. So the one related with wealth management and the one related with insurance products. And for this kind of commissions you will have double digit growth or an acceleration in terms of yearly basis in comparison with these figures of this quarter. Also in transaction banking you will have an acceleration in terms of fee and commissions. And it is what we are working in terms of insurance, product and acceleration. And then we will define what would be the real trend of commissions for next year in terms of guidance to the market next quarter. Because today I think we can exceed what we have today in our figures in terms of tax credit. We have a contribution from this world. It is clear, like all the other banks, it is in the range between €50 and €60 million per quarter. And the amount could be between €30 billion and €50 billion euro. The total amount of this sector. And this is part of our contribution quarter by quarter. Thank you.
Operator: We are now going to proceed with our next question, and the questions come from Dalanovicio Ulagi Lopez from BNP Paribas Exane. Please ask a question.
Unidentified Analyst: Thanks very much. Thanks for the presentation, for taking my questions. I have one question and it's related to the cost of risk. How do you see credit quality evolving into the year? And what should we expect in terms of cost of risk after the slight performance seen in the first quarter? Thank you.
Luca Bocca: So we think that credit quality also this year can be very positive and our expectation is also for 2025. So the condition of corporate sector in Italy is very good, especially compared with the other European countries. We do not see any signs of significant deterioration in the financial conditions of our clients. We are really at the minimum level. So it is clear that when you are at €5 billion net nonperforming loans, and no other bank in Europe has this level comparable with us, obviously, it is clear that you can have an increase of 100 200 €300 million in terms of volume, but with no significant threat on our asset quality. We are considering the figures we gave to the market of above €8 billion. We consider the cost of risk, that is below 40 basis points, with a run rate of 30 basis points and ten basis points for de risking, in case we see some opportunity of making disposal of non performing loans. But our view on this sector is absolutely under control and we think we can have positive these figures are without release of overlays. So we remain in any case, in case of need, with €900 million of overlays. We are totally confident that this sector is totally under control for inter Sao Paulo. If you compare our position in terms of net nonperforming loans in terms of stage two, because there is, in my view, an underestimation of the stage two in other banks, you have a clear position of a bank that in terms of cost of risk and quality is totally under control, then probably we can have a slight increase in terms of cost of risk. Quarter by quarter could be another three basis points, four basis points. So the run rate, in my view, could be 30 basis points with these ten basis points that we can use in case of need to make further disposal non performing loans, and so reaching level close to 40 basis points in case of a disposal. Thank you very much. Thank you.
Operator: We are now going to proceed with our next question, and the questions come from Pamela Zuluaga from Morgan Stanley. Please ask a question.
Pamela Zuluaga: Hello, thank you very much for taking my question. The first one is a follow up. I want to understand how you identify the €100 billion an asset pool to grow aums. Did I understand correctly that this includes the potential shift out of aucs, particularly thinking about the BTP Valori that you were talking about earlier, or what else goes into this pool? And then my two questions are, one other peers have talked about a deadline for either the usage or the writing back of the current provision overlays. You just said that asset quality remains really strong. I am wondering, is there a moment in time when you know, or you think, if you haven't used these 900 million provisions, you will write them back? And then can you give us a little bit more of detail around your expectations for NII, but for 2025, thank you.
Luca Bocca: So, thank you very much. In the amount of €100 billion that we estimated last year are not included the BTP valor switch. So I think that we will define a better figure after the starting of reduction of your eibos. So that's a part of the job that we are doing in this committee for fee and commissions. But the amount, in my view, could be higher than €100 billion. So that's my expectation. It is clear that it is not an amount that you can realize in, in one year time, but for sure is an amount that can be considered workable. Just to give you a figure on the gross inflows that we have now quarter by quarter. Last year, we used to have an amount between 20 and €25 billion per quarter. In now we are between €30 and €35 billion per quarter. Also, without being net inflows, we are accelerating in terms of commission. So this means that if we start in terms of acceleration with these €10 billion, and then with the conversion of the government, our fee and commission can increase really in a massive way, but are not included for the time being in the €100 billion. So it is a reserve that we have, and the figure will be probably part of a presentation in the second quarter result or third quarter result, if we have clear evidence of reduction of your ivor, in terms of asset quality. So this item of overlays is a clear point of attention, because these are reserves that we can maintain. But my expectation is that this will not remain forever in the figure of the bank. So it is clear that 2024, 2025. But there will be a timing in which these figures for a portion can be used in some way in our forecast, in our outlook, in all our figures, we have still €900 million of overlays, both for 2024 and 2025. So these are the above €8 billion figures. Are considering this approach because we want to remain very conservative and give figures to the market that are totally reliable and not based on marketing attitudes, just to have an increase, a short term increase in terms of market cap. But the usage of these is for sure an issue in the sense that there will be a timing in which we will decide what kind of usage we can have. For this €900 million. Could be brightback, could be usage instead of making provision in different sectors, but we will decide between 2024 and 2025. But for the figures that I give to the market, there is zero contribution from. From overlays on net interest income. Your questions are? Sorry on 2025, Yes, on 2025, our expectation is that we can have a net interest income that could be above the net interest income of 2023 and that's our expectation in a scenario in which you can have 3.6 Euribor average for 2024 and 2.62.7 Euribor average for 2025. In this case, as I told, we will have €900 million contribution from core aging facilities and in 2024 and 1.6 contribution in 2025. So this is our expectation. So we can continue to have significant contribution from net interest income with good contribution from fee commissions. The kind of estimates of above €8 billion has been made without any acceleration in fee and commissions that in any case we are seeing and we will deliver through this committee and through my direct involvement in the growth of commissions.
Pamela Zuluaga: Sorry. So there is upside on the guidance of the €8 billion from the efforts around the wealth management protection?
Luca Bocca: Yes, sorry. We made our estimates before the starting of the new organization and before the starting of this committee that is working in order to accelerate the trend in fee and commission. So we have already embedded in our figures an extra fee and commissions contribution to net income that is not included in the above €8 billion. We will include this as soon as we will have an action plan deriving from the work of this committee. But it is clear that we are already delivering, because we started at the beginning of this year, working together with my people, in terms of acceleration of fee and commissions. And this has proven to be factor of success, because the trend of fee and commissions, especially in the bank territory and the wealth management divisions, has accelerated. And this means that we can easily have a further contribution to continuing from fee and commissions. But it is not included in our outlook. So, just to give you a clear point on the outlook, again, we are in the market, the clear incumbent in terms of value creation, in terms of also consideration from. So we do not need to sell messages just for marketing purposes. So I want my investors to be sure to receive what I promise and to make these. I will wait for next quarter, just in order to be sure that all different factors will accelerate in terms. But it is absolutely clear that we have an extra net income already embedded in the actions that we created and delivered in the first quarter. And also, April has been a very good month for our figures, in line with the best month of the first quarter. So we are continuing to have significant acceleration in all the different drivers of the profitability of the group.
Operator: Thank you. We are now going to proceed with our next question, and the questions come from a line of Ignacio Cerezo from UBS. Please ask a question.
Ignacio Cerezo: Yeah, hi, good afternoon and thank you for taking my questions. I've got two. The first one is on the Gorman guaranteed lending. If you can give us an update in terms of what is the stock, the maturity schedule, and if you think that poses a risk in terms of asset quality at some point in the next two to three years. And the second one is in terms of the fee breakdown, I mean, you're basically implying that the €1.4 billion market fees this quarter, you can annualize that in the next two to three quarters. If you can give us a little bit of color in terms of the contribution from volumes and margins to that target. Thank you.
Luca Bocca: On guaranteed lending volume, we still have close to €20 billion. During 2024 and 2025, we will have between one and €2 billion expiring. 40% of the rest will expire in 2026 and the rest after '26. So this more or less. But in this sector, the evidence is that also in marginal portion that has expired, that is between one and €2 billion in the last year. Beginning this year, we have no evidence of any kind of problem, but the trend is there. So on the second question, sorry, on fees contribution, you can go at slide 6067. And in slide 67, you have all the detail on the dynamic in the quarter of 2023 and in the first quarter. And in this sector, you have that for the management, dealing and consultancy activities. My expect in the forecast, we have not a double digit growth, but the evidence today is that we are moving a double digit and we will move double digit during 2024 and all the other sector, a sector in which we are working line by line to accelerate the level of growth. So this is more or less the tableau de board that we are using with my people in order to accelerate the growth of fee and commissions in 2024 and 2025. Obviously, you have not the impact of reduction of interest rates. So this is the results, the acceleration of these actions that we decided in this committee, and they are delivering within, within the group.
Operator: We are now going to proceed with our next question. And the questions come from the line of Britta Schmidt from Autonomous Research. Please ask your question.
Britta Schmidt: Yeah, thanks for taking my question. I have another question on the fee income. Please. Could you explain to us a little bit how you think about upfront and switching fees, the longer term management fees that will then come from transforming some of the, let's say, deposits or aucs into aums? How do you intend to make sure that these sort of levels and levels of growth are sustainable also beyond 2025? The second question is around the growth net flows. Well, thanks very much for telling us what the gross flows were. Given that this is such an important area, would you please be so kind to also disclose them in the future for us so we can track a little bit what's going on? And then lastly, just a question. On the balance sheet, the deposits were down Q1, q the reverse were up. And not only versus Q4, but also versus Q3. Maybe you can just explain a little bit what you've done on the funding side this quarter. Thank you.
Luca Bocca: So on fees. You have to consider that the trend of our fees in this quarter, you cannot call upfront fees, you can call entry fees because these are deriving from the volume of gross inflows. So the level of commissions that is related with an entry fee is between 0.6 and one 1%, maximum 1.25%. So we are not talking about instruments that are creating upfront fees just in a quarter, and then you will lose the benefit in terms of commission. So the entry fee is a level that I described, that the amount has increased significantly because the volume has increased in a significant. Working on volumes, not on pricing for what you called upfront. For us, these are entry fees and is part of a job then with. With the maintenance fees that is absolutely positive for us and will be running fees year by year. But we will not have a phenomenon that can create some negative on our trend, is a priority for us not to create an upfront fees impact coming from the pricing, but only coming from volume. So that's fundamental. And in our expectation, volumes, quarter by quarter remains more or less in the new volumes will remain more or less at the same level. So we will have a continuous, continuous trend of fees coming from this trend. Looking at deposits in this quarter, we had a reduction of deposits, but we had, at the end of last quarter, a technical movement of €5 billion, the payment of taxes of our clients. That was postponed because the end of the year was '29 and not the 1 January for the fiscal purposes. And so on average, the reduction of deposits has been only between three. And the majority of these has been a movement from deposits into asset under administration. So we are absolutely under total control of the wealth that is placed with us by our clients.
Operator: We are now going to proceed with our next question. And the questions come from the line of Andrea Lisi from Equita. Please ask a question.
Andrea Lisi: Yeah, just one question. On cost. I saw a great trend in cost, in particular, in banker territory, operating expenses were down by -2% year on year. So is this something that we can expect also in the next quarters in the sense that this year will be also affected by, in full, by the impact of the renewal of the contract in Italy. And so just understand how do you plan to manage cost and maybe to make them contracting or stabilizing on a yearly basis. Thank you.
Luca Bocca: So the trend is a trend that, especially for personal cost and administrative expenses, in my view, is totally under control. And looking at depreciation is mainly related to new investments in technology. So the costs are totally under control. In terms of personal cost, we will have benefit from the exit of people that we will have during 2024, 1400 people leaving the organization in 2024, reduction of branches. The majority of these impacts are obviously concentrated in Bangkok territory. That is the place in which we have the majority of people and obviously the branches. So the impact is there. For this reason we had in 2023, something like a charge in the personal cost is that cost that has not been used during 2024. So it's a positive that we will give benefit for 2024. And in comparison, 2024 with 2023, we will not have in 2024 extra charges for personal cost. And so also the personal cost in our expectation could have a good trend, despite the increase of cost coming from the new agreement with the trade unions. So my expectation is that cost will remain totally under control. We will continue to accelerate the technological investments, because in our view, we have to continue this unique position of inter Sao Paulo to be with the right business model. So the wealth management, protection and advisory business model, but also with the right investments in terms of technology. So the banking sector for the future will be wealth management, protection, advisory and technological leadership. And for this, we will continue to invest in a significant way. So that will remain the key driver of our sustainable results for the future. Thank you.
Operator: We are now going to proceed with our next question. The questions come from the line of Hugo Cruz from KBW. Please ask a question.
Hugo Cruz: Hi, thank you for the time. I just had one question, which is, you know, with the competition of BTP Valori, do you see any risk that the outflows of client money will continue to move to that product, not just from the Intelsa side, but other banks in Italy as well? At some point that could lead the banks to have to pay more for deposits, so that they don't lose so much going to BTP Valori. That's it. Thank you.
Luca Bocca: I think that it is clear that in a phase of interest rate like this, and with the kind of of remuneration that banks are giving on deposits, the competition of the BTP valore remain a point of attention. But as I told first, the dimension of BTB Valore will not reach a position to create any kind of significant impact on the fee based sector. Second, banks like Inter Sao Paulo will have a benefit in the future because from asset under administration to asset under management. And third, the financing of the public debt of Italy is positive also for the banking sector. So if families will finance the public debt to the country, this will create more independence of the country from other sources and in my view is in any case positive.
Operator: Okay, we are now going to proceed with our next question and the questions come from the line of Fabrizio Bernardi from Intermonte. Please ask a question.
Fabrizio Bernardi: Hi everybody, I have a question, not only [ph]Taser, but in general on consolidation. You played a very important role in the past with the UBI deal. So I would like you to share with us your colors, your flavors, your thoughts about consolidation in Italy. I know that Inteza is at the top of the antitrust limits in technically any province in Italy. So I know you cannot have an active role, but given your role played in the past, maybe you can give us some flavor about what may happen. Thank you.
Luca Bocca: So good question. Because I think that to make consolidation you have not only to be a super smart guy in term of understanding the best financial condition, but you have to be enough bold to make a transaction in the right way. So this means not to create some discussion for months and months, but you have to assess a clear offer and then to make the deal. This is part that Inter Sao Paulo has been probably the best player in Europe to deliver this kind of transaction in the past years. You mentioned the transaction of UBI that has been probably in my view the best deal in Europe. Also because the quality of UBI was really very positive. And this allow to the combined group to be to reinforce the point of strength of inter Sao Paulo. But looking at the consolidation in Italy, I think that if this will happen and again to be able to make consolidation, you have not to be only smart in making theoretical deal, but also to perform a clear deal. But if this will happen, this will be very positive for Inter Sao Paulo. Because the kind of experience of all the other Italian bank in making acquisition, I cannot tell that it is close to zero. But it is not something that had recent m and a deal. And mad deal means to have a ability to bring people with you, ability to integrate it system, ability to deliver synergies, ability to create a unique flag between all the people within the organization and also from the client side is a clear point of attention. And in that case, I think that inter, Sao Paulo can have a clear benefit from consolidation made in the country. So I'm pretty positive. I don't think that we will have significant transaction in the country. That is my perception. But in any case, for us, this can be positive and not negative.
Operator: We have no further questions at this time. I will now hand back to Mister Carlo Messina for closing remarks.
Carlo Messina: Thank you. So thank you very much. I think in our presentation we had the occasion to give you also my personal view on the real potential that we have to exceed the figures that we have in our not only official document, but also what we are really making within the group. If I can ask you to give a clear look also to slide 35 of our presentation, because in my view, in this slide, you have the clear evidence of what is the meaning of sustainability for an organization in the future. So Thank you. very much until next presentation.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect your lines. Thank you.